Operator: Greetings, ladies and gentlemen and welcome to the Home BancShares Incorporated Third Quarter 2018 Earnings Call. The purpose of this call is to discuss the information and data provided in the quarterly earnings release issued this morning. The company presenters will begin with prepared remarks and then entertain questions. [Operator Instructions] The company has also asked me to remind everyone to refer to their cautionary note regarding forward-looking statements. You will find this note on Page 3 of their Form 10-K filed with the SEC in February 2018. At this time, all participants are in a listen-only mode and this conference is being recorded. [Operator Instructions] It is now my pleasure to turn the call over to Mr. Allison.
John Allison: Thank you, Carl. Good afternoon, everyone and welcome to Home BancShares third quarter earnings release and conference call. Our regular management team has gathered with me today and you will hear from them later in the Q&A. You’ve seen the press release on the front page has changed hopefully to provide a better and quicker way to present our information. The change came from our new investor relations lady who you all know Donna Townsell, so please let Donna know what we can do to improve from here. First I want to wish our customers, employees and their families, the speedy recovery from the devastating storm that hit the Panhandle in Florida last week. There really are some amazing stories coming from that area from both our employees and customers stepping up to help each other, people helping people. Good people can become great people when faced with severe adversity and that’s what’s going on in the Panhandle in Florida today. Leadership is what it’s all about. We had been kind of struggling because of the phone service finding our people, so we were actually physically being going out to their address to check them. And I think so far, we’ve accounted for all but one, they have all been accounted for.
Donna Townsell: They have all been accounted for
John Allison: They’ve all been accounted for. That’s great. That’s a new update for me. This storm was a bad one and originally some of our people had no food, no housing, no water, and no clothes. Well, the clothes they had were probably on their back and they were wet. We'll tell you a few stories of some of the great stories coming out. I know there'll be more. But one of the great – one of our customers from Pensacola, Florida, Rick Olson, purchased, loaded, and delivered two Bob trucks full of life's essential materials, including food, water, clothes, generators, fuel, chainsaws, and medical supplies. He navigated the unnavigable -- that’s kind of hard to say roads, carrying plywood to place on the road that was washed away or damaged. He entered the places he was informed by law enforcement not to enter, not stopping because his friend and banker Jim Haynes, his family, and employees were in dire need of help. He said to Tracy, Dave, and me, “I can do it.” And he did it. The entire Home BancShares family owes a real sense of gratitude to Rick Olson and thank you, Rick, from all of us. [Indiscernible] is one of our people who went to the branch the day of the storm along with Joey again and they road it out. He watched air conditioners being ripped from buildings, thrown in the air as though they were weightless. After a couple of days, he opened the drive through without computer power in order to accommodate our customers desperately in need of cash. And how he did that, he connected with a young lady by the name of Lindsey Trowel at our Jonesboro, Arkansas branch who stayed with him on the phone the entire time to retrieve customer information. So we didn’t have a computer, we just had cellphones. I’m told that she said, “I’m with you and I’ll keep this line open as long as you want. ‘By the way, I think he went two or three days without a shower. So, I'm sure he was proud to get a shower at some point in time. Another story comes from James Hosman from Pensacola that is the president of our Pensacola Branch and April [Indiscernible] kind of hard to say but [Indiscernible] loan administrator from Pensacola, with the assistance of Sean Courtney Mack and Alan Davis, a senior officer from Dixon, have been running an almost daily shuttle service to the devastated area delivering supplies. James says, we are fortunate to have branches that did not sustain damage in the Pensacola area and we are close enough to provide assistance to our fellow bankers. During my conversation with James, I found out that he and his team had secured several Coca-Cola soft barrels and after cleaning them out fielding with much needed gasoline and were delivering the fuel to our people in the damaged area, while asking me all the same time what else can we do. Well, I know there are many other people from the homes team doing wonderful things and I hopefully will have many good stories in the future. Mexico beach was the hardest hit. On the phone discussing with our area president Donnie Gay earlier, he stated the branch is very badly damaged and probably a total loss. He quoted, he said, Six and a half hours, ten firemen, one banker in Mexico Beach yields a sack of cash, and I said what do you mean? Well, he had ten firemen in the branch helping him break into the vault to retrieve the money. With all the problems he encountered, Donnie could not say enough good things about the first responders. It took them six hours to get in. The chief said, usually, we’re breaking in a place to save a life, not a sack of cash. No one told any of these people or asked any of these great individuals to do these remarkable feats. You cannot hide leadership in a crisis. It spews out. Leaders lead without even knowing it. Great people do great things. I hope you can hear me on this call. I just want all our people to understand that we're here for you. Whatever you need, it does not matter. These are foxhole times and any of these great people are welcome in my foxhole. Our property damage reports are indicating that damage may not be as bad as one would think after seeing the devastation on television. Donna told me just before I got on the call that 23 of our 27 branches are up and running from Pensacola to Apalachicola to Tallahassee. Some are just drive through but most of them are in full operational mode and a few of them need electricity. Did you tell me another one is coming on tomorrow? Our branch in Panama City and Mexico Beach sustained more severe damages. From a reserve perspective, we have not incurred the losses in the Keys that we expected and may not, if we’re lucky. We’re certainly not out of the woods yet but the sky is much clearer. However, there is still a reason to be careful. With the favorable results from the Keys thus far, we think an additional reserve may not be required. Circumstances could always change. For now we’re going to have the reserve applied to the Keys and the Panhandle. Let’s switch to something more positive, the results for the quarter. But first I think our CEO of the holding company Mr. Randy Sims has a comment. Randy, I think you’ve got a comment, is that correct?
Randy Sims: Yes, sir. I just want to say great stories and what a great team we have in the Panhandle. So yes, let's turn to something more exciting -- some exciting news. The number is now 30. That is 30 consecutive quarters of record income and the most profitable quarter in the history of our company. I had dinner last night with my five grandchildren and I threw out the 30 consecutive quarters of record income and they all came up with the same conclusion, seven and a half years. Some of them had to carry the two and all that, but seven and a half years. So you have it from authority, 7.5 years. The youngest one, 6 years old, said, that's a long time. Well, it is a long time. And we just keep hitting quarter after quarter after quarter and having the most profitable quarters every single quarter. I can’t say enough. Thirty straight quarters, what more evidence do you need that this is one of the most profitable banks in America. So, with that, let’s go back to Johnny and hear about the great results from this 30th consecutive, 7.5-year record breaking quarter.
John Allison: Thank you, Randy. I agree, seven and a half years is a long time ago. We kind of reflect back to what was going on seven and a half years ago. That's when the Navy Seals killed Osama bin Laden. Ben Bernanke said, that 2011 economic growth has been weak in recent months and he would not speculate as to when he would discontinue the Fed's monetary spend list. You remember [Indiscernible] Herman Cain announced for President. You remember Herman? 99999. And Mitt Romney announced for President. Andy Rooney retired from 60 Minutes. The Dow had its worst week in three years, falling 6.14% as recession fears grow. And Bank of America laid off 30,000 people, it seems like a long time ago. And after reflecting back on it, on those times, it makes present times, however tricky, certainly much better times to be in the banking space. CEO Tracy French walked up to me last week and commented, boss, he said, it's a good time to be in the banking business. We’re making a ton of money, almost $230 million the first three quarters, and this is our first quarter ever to earn over $80 million. He went on to say that if we continue at this rate, the company will earn $300 plus million this year. Well, that's right and that's good enough for me. I just wanted to give you a report on buybacks. The company so far, we knew we were having a good year. We thought we’d buy the stock back. We bought back 2,165,731 shares so far this year. Q1, we bought 303,000. In Q2, we bought 345,000. Q3, we bought 1,214,000. And in October alone, we bought 302,000. We’re going buy it. My comment during the fourth quarter earnings release was that HOMB was teed up for a power year and that is exactly what is happening. We saw it coming. The $80 million quarter was even stronger than it appears when you realize that this was the first quarter, full quarter, of Durbin coupled with the first quarter of HOMB $2 expenses. Those expenses equated to about $3.7 million. So, in addition to having record earnings, we swallowed those expenses or swam [ph] upstream as I said on the road. Pay-offs continue to -- loan growth. However, it's not for a lack of loan origination. HOMB had record loan originations of $987 million for the quarter, with the legacy footprint accounting for 84% of that total. If we had not had the payoffs the last two quarters, we would have booked $1.9 billion -- that's billion, by the way in loan and HOMB $2 would now be a reality and not something in the future. That's how close we are. Payoffs for the quarter, the bad news is New York had $400 million of payoffs for the quarter. The good news is they made a lot of money when they get payoffs. The strong profit took a little edge off of the payoffs. I thought well I don't like the payoffs but the profit was very good. If you remember, the life of CFG loans is about 36 months. Therefore, about a third, or $500 million, will pay off every year. But we didn't expect it all to pay off in one quarter. However, New York's pipeline is they have about $300 million in the pipeline. They were down about $175 million in loan totals with the big payoff, but as I said, they've got about $300 million in the pipe. The good news is that legacy had a good quarter and legacy was up $108 million. I’m pretty proud of that, everybody seemed to pitch in to do that. We ended up down about $60 plus million for the quarter but it was a great quarter. Let's talk about earnings. Third quarter earnings were up 5.6% on a linked quarter basis or 72.8% year-over-year. That's adjusted for the $33.6 million hurricane reserve in the Keys and merger expenses of $18.2 million. We had record earnings of $0.46 a share. Revenue was up $11.7 million or 6% on a linked quarter basis and revenue year-over-year was up 60% and revenue for the first three quarters of this year is up 60%. Pretty consistent. Listen to these numbers. Return on assets on a linked quarter basis was 2.14 for this quarter and 2.13 last quarter on a linked quarter basis. Is that consistency? Return on assets for the first three quarters of this year of 2018 was 2.12. So, that's pretty powerful earnings compared to last year 2017, at 1.82. But remember you’ve got to add back to that the $33.6 million in hurricane reserve and the $18 million in merger expenses. Return on tangible common equity on a linked quarter basis was 24.56 this quarter and 24.27 on a linked quarter basis. That's consistency again. Return on tangible common equity for the first three quarters of this year was 24.39 versus last year at 15.06 but that again has the $33 million hurricane reserve and the $18 million in merger expense. Return on tangible common equity on a linked quarter basis was 24.56 this quarter and 24.27 on a linked quarter basis. That's consistency again. Return on tangible common equity for the first three quarters of this year was 24.39 versus last year at 15.06, but that again has the $33 million hurricane reserve and the $18 million in merger expense. Margin, let's go to margin. Someone said, I don't believe you can maintain your margin. Margin held up a little better than we anticipated. It was down only one basis point to 446 versus 447 on a linked quarter basis. Margin year-over-year was up six basis points from 440 to 446. You remember, Shore Premier was to be diluted to margin by three or four basis points but because of New York’s great quarter and a starting trend of increasing loan rates -- increasing loan rates higher into the legacy portfolio we have been able to keep our margin basically flat for the quarter. Asset quality remains excellent. Our management team has been with me and myself. We’ve been traveling all over the country during the past several months visiting investors, both existing shareholders and prospective shareholders. I just thought I'd share some of the insights of the investor sentiment. The [Indiscernible] about banks is, I think, way over the top. We’ve seen worse times in this industry. But here are some examples of some of them. Some of them are almost comical. Interest rates are going up and that’s good for banks. Interest rates are going up and that’s bad for banks. Banks need loan growth. These are dangerous times for banks to have loan growth. If they are having loan growth, they must be doing something wrong. Cost of funds is going up and there’s no way you can keep up with that on loans. Asset quality must get worse because it cannot get better. If you raise your rates, you must be getting adverse selection. You need to raise your rates to outrun the deposit beta. You’re going to trade away the Trump tax gift. We must be in the last innings of this economic cycle. Again, when you listen to those things, everybody’s looking for something. I don’t know what they’re -- the market’s pretty good, banking is pretty good, but everybody appears to be looking for something. Even with the non bank competition for loans, the daily battle to increase spreads, regulatory environment with escalated M&A prices making acquisitions very difficult for disciplined acquirers, those with strong business experience that have been here before will weather this situation and good operators will look back favorably on these times. Keep your good people close, check your weak ones, work hard, nobody said it would be easy. When our company continues to perform as it has, as Randy said, 30 consecutive record quarters in a row with a 446 margin, a 37% efficiency ratio, a 2.14 ROA, increasing revenue, record earnings, expense control, fair dividend payout, fast capital growth, over 24% return on tangible common equity, a very experienced management team, and a good probability of earning over $300 million this year, tell me what's wrong with that? Even if the drivers of the economy are beyond our control, we’ll be fine and we’ll continue to be one of the best as we have for many years. Our performance ratios have always been best of class. Forbes ranked us the best bank in the country of all banks last year, a very nice compliment. But this year's performance is much better than last year. We may not be the best bank in the country but we are damn sure in the Top 5 of all banks anywhere and we’ll continue to be there. I want to thank you for your support and tell you how much we appreciate it. Your Honor, I’m asking for summary judgment here. I rest my case. Carl, we’re ready for questions.
Operator: [Operator Instructions] And our first question comes from Brady Gailey with KBW. Please go ahead.
Brady Gailey: Hey good afternoon guys.
John Allison: Hey Brady, how are you?
Brady Gailey: Good, glad to hear everybody is doing relatively okay down the Panhandle I know there was a dizzy [ph] of a storm. Maybe we can start just with CFG I know that could be volatile like we saw this quarter with some pay-offs, but how are you thinking about the growth of CFG from here?
Randy Sims: I don’t know if I like volatile, I think I like lumpy. I think Chris is with us on the phone and – Melissa, Chris, you’re with us?
Chris Poulton: I am, I am, thanks. Yes I think the way that we usually think about the business is month-to-month, quarter-to-quarter is tough to sort of project whether or not you’ll be up or down. We look at it more in a rolling 12-months basis. I think even after this quarter with a significant paydowns if you look at us on a rolling 12-month basis we are up 20%, so I think there’s nothing that happened this quarter that makes me think differently about whether or not our portfolio will grow overtime.
Brady Gailey: All right. And then I know you all mentioned in the press release how you're opening a new LPO in Dallas. Is that a CFG thing or is that a legacy HOMB office?
John Allison: Chris, go ahead.
Chris Poulton: Thanks. So, yes that is something we’re managing. There’s really two things that’ll do for us. One, it’s very similar to L.A. It gives us access to maybe a couple different customers that we are not calling on today. The other it gives us is a good access to a high-quality talent base. But a little bit to your question too about whether this is a CFG thing or a legacy footprint thing. The real answer in Dallas is probably both. There are some capabilities that we have in our group that can be shared I think well, with legacy and we have been doing that on a limited base over the past year. I think we'll use Dallas as an opportunity to formalize that a little bit. So, some of the work that we’ll be doing out of Dallas will be to support the legacy footprint, in particular on some transactions that might look a little bit different than ours but certainly require some of those capabilities.
Brady Gailey: All right. And then John, you mentioned the buybacks which ticked off in the third quarter. You look at where your stock’s at now and it’s even cheaper than what we saw last quarter. So, should we think about you guys being fairly active on the buyback going forward too, as long as the stock stays this cheap?
John Allison: I would think so. I don’t see any reason for us to change that. We have authorization. We may have to go back to the well and get additional authorization but we can get that. So someone asked me on the road recently he said, are you spending your capital buying stock? And I said, we didn't spend any of our capital. They said, I thought you bought back $45 million worth of stock. And I said, that’s Donald Trump’s money. That’s what he gave us. So, we’ve spent a lot of Trump's money. We haven’t spent any of ours yet. So.
Brady Gailey: Got it. Thanks for the color guys.
John Allison: You bet. Thank you.
Operator: And our next question comes from Stephen Scouten with Sandler O’Neill and Partners. Please go ahead.
Stephen Scouten: Hey guys, good afternoon.
John Allison: Good afternoon, Stephen.
Stephen Scouten: I think I appreciate a lot of what you’re saying, in the sense that you can’t really control investor sentiment and I totally agree with that. This has been kind of a brutal tape we’ve been dealing with for the last month or so. But I’m curious, with the capital that’s continuing to build, you obviously just spoke about the buyback, but what other things do you think you’ll start to investigate with the capital, whether that be -- I know we’ve talked previously about TruPS or the sub debt. Or are there any other things you might explore today, given the different opportunity sets that are out there and the investment community view of them?
Randy Sims: Well, it’s just more accretive to us to buy back stock at this point in time. They are getting to be so pessimistic out on the street and we’ve been traveling so much. I’m thinking we better be like the squirrel [ph] who’s storing nuts for the winter because there must be a hell of a storm coming here sometime before long. Or for the entire banking industry, it looks like. I mean, coming back from the road it's just amazing how pessimistic everybody is. And it’s beginning to make me a little pessimistic. Again, we don’t see it. We don't see it in our footprint. We don’t see the crazy deals. We don’t see the flippers. We don’t see the school teacher with six houses or the stripper with four condos. So, it just doesn't exist. I mean, I looked this morning as I walked my dog, there was not a Russian behind any of my trees in my yard and I went around them twice. I just thought they might be quick. For some reason somebody thinks there’s a Russian behind every tree. I think I’m [Indiscernible] duck hunting for a while. Stephen, you just come hunt with me.
Stephen Scouten: There you go. Sounds like a plan. It’s about that time of year. It's about that time of year. Yes, no, I agree. I think, I mean, correct me if I’m wrong, but you are not really even seeing any signs today of any credit weakness, right? I mean, it feels like everybody wants that to be coming but, to me, it feels like that’s more of a 2020 event at the earliest right now. I mean, are you seeing any signs of weakness across your footprint yet?
Randy Sims: We have not seen any signs of weakness. I mean, what if it doubles. So what, I mean if it doubled and margins got squeezed and we only may still making $310 million this year, we made $295. It’s really just pretty amazing to me. Well I’ll shake my head, but I don’t think our people, Kevin, you seeing anything?
Kevin Hester: Well we’re not seeing anything in any of our markets that gives us concern from an asset quality perspective and from a market perspective.
John Allison: Tracy, do you get anything?
Tracy French: No sir.
John Allison: Tracy’s not. Let me tell you something. You are talking about -- the biggest part of my worth, and these people around this table’s worth, is tied up in this stock. We are constantly asking the question. So, we are looking for it. We just don’t see it. Even the Keys, I’m probably overkilled the Keys. May have, we are not out of the woods yet. Just like Marathon, Burger King, Wendy's, the Pizza Inn, Wynn Dixie, four or five of the big chains have not opened back up. It’s just strange. It may just be they can’t hire the people. Maybe they are fighting, whether it’s wind or flood in the marketplace to get their insurance. But they have an opened back. But our pass throughs are great, as you can see. So we may get through that. The Keys people are extremely resilient and they are not standing there with their hand out when the storm goes through. They are going to get a shovel to try to get the sand off the beach or get the sand out of their house. So, so far, so good. Hopefully we didn’t lose anybody. The good news is our people are healthy and we didn’t lose anybody in the key, so I mean in the Panhandle.
Stephen Scouten: All right, now that’s great. And maybe one last one from me, just on the loan originations, I mean obviously 987 million originations is phenomenal, it’s up quarter-over-quarter which is great to see again. But obviously net loan growth was still down with the paydown activity, are you seeing anything as you forecast out your portfolio maturity is expected to paydown. Are you seeing any inflection point where we might see a lessening of the paydown activity and see more of these originations actually stick to the balance sheet and show net growth or I guess can you speak to that in any way?
Randy Sims: I can speak to it. That’s a crystal ball. That’s just, I wouldn’t have ever. I mean, I would have lost my house and my boat and my duck club. I would have bet against that. I just can’t believe the amount of paydowns that we’ve experienced in the marketplace. And it will slow down. I read something today where they are anticipating a slowdown. But I really hadn’t seen the inflection point. We have, as I said on one call before, we have a slow paydown quarter one of these times and we are going to be up $400 million or $500 million and they are going to say HOMB's taking off and it’s just strictly a matter of paydowns. I think it's the same story we’ve said in the past. We do watch our payoffs. And there's a lot of credits that we make that we know are going to be paid off at a certain time. Over the past 15 months, naturally, those have come in and paid off a little bit earlier than normal. I’ll use an example of the construction loan that we shared with you in the past. Construction loan actually gets paid off before completion and they get to borrow a little bit more money out of it, no guarantees, and those type of things. So, we’ve always projected those in the past but thinking we’d keep them on the books for another nine months to 12 months where now they are getting paid off a little bit quicker. And that’s still happening today.
Stephen Scouten: Yes. Okay. Thanks for the color guys.
John Allison: Aren't you seeing it everywhere, Stephen? Everybody is having the payoffs?
Stephen Tipton: Yes, 100 %. 100%. We’re starting to hear some commentary that folks feel maybe early 2019, they see some of that abating. But I don't know. That feels like wishful thinking at this point. But I'm hopeful.
John Allison: Well, it’s hard to predict because you can look at the ones are going to pay off and then suddenly somebody brings a new -- you kind of get your totals and you’re rolling a forecast of what it looks like for the quarter and that is probably the hardest thing to manage I’ve ever seen. Because suddenly someone comes in with a good $50 million loan and you do that and somebody sells a $200 million property or $100 million property and you get a payoff. So, it’ like riding a wild bull.
Stephen Scouten: Yes. Understood. Well, congrats on the 80 million guys, quite accomplishment.
John Allison: Thank you. Well, we’re proud of it. Thank you.
Operator: And our next question comes from Jon Arfstrom from RBC Capital Markets. Please go ahead.
Jon Arfstrom: Thanks. Good afternoon.
John Allison: Hi. How are you, Jon?
Jon Arfstrom: Good. Doing well, doing well. Just a question on sentiment. You talked about investor sentiment and I agree with you on that. But have you guys seen any changes in borrower sentiment one way or the other?
John Allison: No. I mean, you mean negative Jon or…?
Jon Arfstrom: Negative or positive, either way?
John Allison: No, it’s the same. It’s pretty much the same, nearly $1 billion worth of loan originations last quarter. We really haven’t seen any change in sentiment. Just talked with one of our big borrowers today, Tracy and I went down to Sarasota about two months ago. But we generate somewhere around $50 million in loans out of that trip and that’s coming to fruition. It takes a while to get it all put together. But I just talked to one of our big borrowers today and he’s got some more projects he wants to talk about. He said, I’ll come see you all or you all come back and see me. So, I think we’re going to take a crew down and visit with him for two or three days in the Sarasota area. So, I asked him, I said, what impact -- we were talking about it at the Board meeting the other day, did the impact in the Panhandle, what was it going to do to Sarasota. And he said he was 100% full last weekend. He’d never been that full ever. So, people who -- he said some of the people were from the Panhandle that said we might as well get out of here so they went to Sarasota and vacationed. And some people going on vacation just switched from down there over to Sarasota. So, he said that this is a slow time of the year and he said business is really, really good. So, business is good in the Keys, particularly in Key West. South Florida’s been good. Panhandle was great until we got blown away and what that’ll be. That will be one heck of a building boom that will happen in that market. I think that will be a pretty good boom for us for years to come.
Randy Sims: But you do need to remember that while the storm did devastate Mexico Beach, that side of Panama City is named the Forgotten Coastline. And it’s not the heavily populated tourist area of the Panhandle. The Panhandle, from Panama City Beach on back to Pensacola, was basically untouched. And so I talked to a lady staying at my house last night and she said there were five people out on bicycles. The restaurants were full. The restaurants are struggling a little bit with workers. But outside of that that things are really kind of back to normal. So, that area where all the tourists goes and all that traffic go, again, from Panama City Beach all the way to Pensacola and farther, it’s as it was. And you’re going to still see people coming down there and it’s going be packed.
Jon Arfstrom: Okay. Good. Okay. That helps. Brian Davis, give us a little bit of help on the puts and takes on the margin. You guys talked a little bit about the fees from CFG. Give us an idea of what that was as well and maybe a starting point.
Stephen Tipton: Hi, Jon, this is Stephen. I can take a part of that. I think Johnny talked in his comments about some of the tailwinds I guess we had from the New York payoffs and some of that -- obviously, a portion of that was revenue, some of that was in margin, some of that was in fee income. I would say that kind of the general takeaway -- one is that some of that will continue in future quarters, as we mentioned. You would expect some of that to be a little bit lumpy, I think was the word that we used. But I think the general takeaway was trying to normalize for some of that. We’re seeing legacy yields begin to pull up. We had a good month in September from a renewals standpoint. We had all our group together in July and began to see the fruits of that in September. So, I think the legacy group certainly will continue to pull up in the future. I think trying to normalize for what we saw from New York, where we guided at the Q2 call with the impact from Shore, is where we landed in the low four range.
John Allison: Yes, we were -- I had said three to four basis point dilution. Stephen had told me that he had calculated almost seven basis points dilution. So, we started -- when you think about it, Jon, when you can't get loan growth and you’re about as efficient a bank as there is in the country, how do you increase profitability? And I just reflected back to the things that we did in '08, '09, and '10. We increased rates. And we deserve to have a rate increase and all banks should be pushing up rates. So, we started pushing up rates. And when we had our HOMB $2.00 meeting in Miami, we talked about pushing up rates and if the trend had started. And it took about six weeks and then it started kicking in and the trend has kicked in. So, I think we’re going to be able to push up rates. I had to draw a picture -- Jon, on the board, had to draw a picture of a six when I was at the meeting because nobody had ever seen a six, and I drew a seven. They hadn’t ever seen one of those. So, I said, those are what you're going to be looking for is sixes and sevens. And I said, get a good picture of that because, I said, that's where we’re headed. So, we’re seeing sixes now. Haven’t seen any sevens except Chris' group but we're seeing sixes. So, overall, it’s pretty good. It's actually better. CFG kicked in -- their income kicked in a little stronger for us. It helped hold the margin in and then we are starting the trend of moving rates up and that is working, by the way.
Jon Arfstrom: Okay. Good. Thanks for the help.
Brian Davis: You bet. Thank you.
Operator: And our next question comes from Matt Olney from Stephens. Please go ahead.
Matt Olney: Hi. Thanks guys. Good afternoon.
John Allison: Good afternoon. Matt, how are you?
Matt Olney: I'm well. Thank you. Appreciate the update. I think a lot of my questions have been addressed but I wanted to go over to fee income. Fee income looked pretty strong, especially with Durbin income coming out. Can you just quantify that amount of Durbin? Was there anything else unusual in fee income? I think Stephen referenced some of those fees. Did some of those fees come into the fee income or were those mostly in the interest income?
Brian Davis: I'll take that one. Hey, Matt. If you look at other service charges and fees, it’s down $750,000 from $9.8 million to $9 million. The impact of Durbin is sitting in that line item. It’s down just a little over $2.8 million for the quarter when you compare Q2 to Q3 for the Durbin impact for interchange fee income. So, you might ask the question, well, why isn't the other service charges and fees down more than that? And that’s because that’s where the other fees from CFG is hitting for these payoffs for the exit fees and everything there. And there's approximately $2 million of that that came in this quarter.
Matt Olney: Got it. Okay. That’s helpful.
John Allison: That's probably going to be recurring item as Chris has booked. You want to comment on that Chris.
Chris Poulton: Yes. Some level of that is recurring. I mean, the portfolio is – we’ve been here three, four years now. We have a sort of a steady stream of loans that will exit or payoff and we anticipate that and we do design our loans so that we make money when they’re outstanding and we make money when they pay back. Some of that comes into the fee income line. So, it may be elevated in certain quarters but a good portion of that will continue. We continue to see that going into this quarter as well.
Brian Davis: And just for example we're barely into the quarter little over half a month, and they already have $1 million that they have booked and is already on the ledger for our loan. I won't give the name of it. I was about to. But they have one that’s got almost $1 million of this fee income.
John Allison: So it's become a budget item with Chris. I think he is budgeting $4 million to $6 million a year for those events. So…
Chris Poulton: And that ties back to some of the expense increase we saw too. I don't know if we've talked about that yet. But there's a corresponding payout, incentive payout, on some of those fees that are collected back so it doesn't all flow to the bottom line.
John Allison: Yes, the expense -- actually the total expense increase this quarter pretty much was the payout fees or the exit fees for his people.
Matt Olney: Okay. That was my next question as far as on the expense side, as far as kind of why the jump. John you're saying it was pretty much the exit fees from some of the correlating fees? Is that right?
John Allison: Yes. Matt, I'll give you a little more color on that. I mean, for example, the salary employee benefits is up $3.3 million, CFG has got increased compensation and expense from acceleration of FAS391 because some of file were early. They've also got incentive comp that was paid out and that's 1.8 million of that 3.3 million increases to salary employee benefits. Then you throw in the fact that we started our HOMB $2.00 program. It was not started on July 1st but it was started in July. It's running about $330,000 a month. And for the quarter of Q3, we booked $781,000.00 of expense related to the HOMB $2.00. Also, we acquired Shore Financial on the last business day of Q2 and there are salary and employee benefits for Shore and that's $240,000.00. And we book our salary and employee benefits expense on a daily basis and there's one extra day in Q3 and so that's $379,000.00. And if I add all that up, that accounts for $3.3 million of the $3.349 million change in the salary and employee benefits.
Matt Olney: And so, Brian, when I think about the next few quarters, it sounds like most of, if not all that jump will continue in the run rate. Is that fair to say?
Brian Davis: Well, if you’ve got the corresponding revenue on the top from CFG, I mean, we don’t want the loans to pay off but we sure do like the additional non-interest income that comes along with it. So, there could be some continuation of the acceleration of FASBI 91 and the compensation expense. But Shore is in there for a full quarter and HOMB $2.00 was $781,000.00 for this quarter and it'll be probably closer to $970. So, there might be another $200,000 for the HOMB $2.00. And that is just kind of a flat expense, the HOMB $2.00. I don't feel it's going bounce around much, at least for the short-term, which when I say short-term, for the next year. We've got it on a seven-year amortization and right now it's straight line. And if it looks like we might hit the $2.00 run rate quicker, we might have to accelerate it. If we're going hit the $2.00 run rate a little longer, then we probably decelerate it.
Matt Olney: Got it. Okay. That's helpful, Brian. Thanks guys. I appreciate the color.
John Allison: You bet.
Operator: And our next question comes from Joe Fenech from Hovde Group. Please go ahead.
Joe Fenech: Good afternoon guys.
John Allison: Hi, Joe.
Joe Fenech: Hey, Johnny, I know you’ve talked about the stock needing to be higher for you to consider deals but the group’s pulled back here too. So, do your comments still apply? Just an update on that. Or are there a few one-off opportunities that you see on the M&A front even with the stock price where it is?
John Allison: Well, if it's a private bank, they still think their baby is worth two-and-a-half to three times book. The problem is they don't -- if they're private, they haven't seen the adjustment in their stock price like all the rest of us public companies have seen the adjustment. So, I'm not sure they're aware. It's going to take a couple of nice, reasonable trades in the marketplace to get us back in the game. I mean, we're trading at what? 2.7, 2.6 today times tangible? The problem is that we’re running a 2.12 or 2.14 ROA and we're trading at 2.7 and you've got banks running a 1 or a 1.20 trading at 2.20. So, either we’re underpriced or they're overpriced so something’s got to give somewhere in the market. It'll straighten itself out at some point in time. But from a straight M&A perspective, we might look at something that can help us on the liquidity side at some point in time. We’ve looked at one forever. For a year-and-a-half, we’ve looked at. We may get more interested in it. But if the payoffs continue to come the way they're coming, there won't be any need to have additional liquidity.
Joe Fenech: Okay. That’s helpful. And then maybe for Kevin Hester, too, and you, Johnny. With this payoff activity generally, if you were to generalize it, is it the smart money, do you think, selling from purchases maybe they made during the downturn? Maybe just taking some money off the table? Is it higher rates? Just sort of anecdotally, what are you seeing and hearing in terms of these borrowers that are paying down or paying off? Or is it really just all over the map?
Kevin Hester: It's mixed. I mean, some of it is the fact that you’ve got a pretty good size construction book in the legacy footprint that moves on a quarterly basis and then you got rates going up. And so there are people that are trying to lock in and get some fixed rates for the future. So, I think it's a mixture of a lot of things.
John Allison: Yes. We’re actually trying -- what's our numbers on construction? 89?
Kevin Hester: Yes. The CRE numbers are 89 in the construction bucket and 297 in the overall bucket. So, we're staying right in there at that same number we've been at for the last two, three, or four quarters.
John Allison: That's not -- we really were planning on going above that but we can't get above it. We get up a little bit and then we get knocked down. We get up a little bit and we get knocked down. So, we've got approval to go much higher than that.
Joe Fenech: Okay. And then last one for me, guys. Johnny, these credit concerns that people have that maybe we’re at the end of the cycle, your loan-to-value in that commercial real estate book I think, if I remember, is in the upper 50s. So, even if there is a setback in real estate and the economy, it just seems like it's difficult to see a scenario where people with a book like yours get burned in a material way. Is that fair? Were you even taking losses at those types of LTVs in the crisis years?
John Allison: Well, we had -- as you know, we bought more failed banks than anybody in Florida. We liquidated billions of dollars’ worth of assets in that market, bad assets. And we didn't have five loans go below $0.50 on the dollar. So, the last five or six years, HOMB has pushed leverage down, down, down, to the point where at 57% loan-to-value, we're pretty happy with that. That’s a good place to be. I think that's a great position for our corporation to sit. If we have a downturn, I don't think it'll be anything like the last downturn. The regulators want to blame construction for all the downturn last time. It didn't have a thing to do with construction. It had only to do with the amount of equity that was put into construction because there was no money in construction deals. None. I'm talking about 5% or I saw people draw out 105% on deals. I just remember those days. Randy Sims would say, well, they can get it for nothing down. I said, Well, Randy, try to get us 10%. They aren't going give us 10%, Johnny. They got it done for nothing over here. So, what happened during those times when the problem arose, they just pitched the keys because they didn't have any money in the deal anyway. It is totally different. Let me tell you, that ship left the port a long time ago and it is a totally different world today. There's money and there’s lots of money in these deals. It will be a different cycle this time. It may be a bump along and there may be some people get into some trouble in the construction side but the regulators have pretty much pushed everybody into C&A and owner-occupied and I’d be keeping my eye on C&I. I think that one's really getting frothy.
Joe Fenech: Okay. And then, Chris, just I guess last one. Any sort of general comment, not necessarily on your own book, which is obviously performing really well, but just any general comment on kind of what you're seeing more broadly in the real estate market in New York?
Chris Poulton: No, I think it’s been pretty low volatility for some period of time now. You see a little bit of pockets where rental multi-family might be under a little bit of stress, but nothing significant. Supply is coming on. It's getting absorbed. It maybe takes a little longer to absorb but, in general, it’s a really healthy economy here in New York. People are working. People are making money. Wages are up. So, whenever you've got people working and wages are up, the real estate tends to do pretty well. We see a pretty benign environment right now. And I think it’s been mentioned a little bit before, too, we also aren’t seeing banks reach. And so I think that’s been helpful too. So, we haven’t reached and we haven't seen a lot of people reaching. So, I think the good deals are getting done and we're not seeing a lot of the dumb deals get done and right now, it’s just sort of a nice little period of time where I think things are going pretty well actually.
Joe Fenech: Great. Thank you guys.
John Allison: Thank you.
Operator: And our next question comes from Arren Cyganovich from Citi. Please go ahead.
John Allison: That's pretty good, Cole. You did that name pretty good.
Arren Cyganovich: That was pretty close.
John Allison: How are you, Arren?
Arren Cyganovich: Very good. Thanks. On the deposit side, you, as well as many banks, are seeing those costs increase a bit. Can you just talk about the competitive environment there and some of the efforts you’ve been doing to kind of grow in your legacy footprint a bit there?
John Allison: Well, Stephen, do you want that one? Or I can take that one. We primarily had three deals and you’ve heard the story but I don't know if the street's heard the story. We have an internet bank called giantbank.com that we have about $100 million in. That is an internet bank for us and it has a thrive on it and you can turn it up and get all the money you want. It's just expensive. That’s one initiative that we set out on. The other initiative is Kelly Buchanan is our new deposit czar and she is working with the branches to generate deposits. We were down about $100 million last quarter. Just the average balance was down $100 million or was that just last total?
Chris Poulton: That was end of period.
John Allison: End of period was down $100 million. Well, we can be up or down $100 million at any time. So, that's going okay right now. I'm not sure how well that's going to work but we're giving it a whirl and see how it works. And the other initiative is -- Donna, you want to take the last part of that deal? We got the deposit accounts, those accounts, we've got new accounts.
Donna Townsell: Yes. We have some new consumer accounts that we are opening. We had one out for about 30 days. We've got about 1,600 accounts in that so far. Also, just working with our lenders and getting them to ask for the deposits, as well as the branch side to ask for the deposits.
John Allison: And the third leg of that stool is that we’ve had our eye on a bank for a long time to go try to put a deal together on and it's in a deposit-rich area and their deposits have not risen like ours have. And they don’t have the -- I don't guess they have the pressures that we have, that the rest of the industry have. We are not running CD ads. We've never run a CD ad in years. Years ago, we ran them but we haven't run one in ten years. We don't run CD ads. We don't react to that. We don't panic. We just one-off the transaction and we've got plenty of federal home loan borrowing. In the Shore deal, we just pulled up federal home loan borrowing, paid it off, and went out and got the money for it and paid off federal home loans. Well, that's how we're doing it.
Stephen Tipton: Arren, this is Stephen. I’ll take the back half of that. I think what you saw in the quarter here was a lot of seasonality to some of the deposit flow, particularly in Florida. We are talking with our division presidents, regional presidents on a daily, weekly basis in the Panhandle and some of the Southeast Florida area. You may have seen some declines linked quarter but still show some really strong increase quarter-over-quarter. So, I think we’re still pleased with the approach that everybody's taking there to grow the base.
Arren Cyganovich: Okay. Thank you.
John Allison: Thank you.
Operator: And our next question comes from Michael Rose with Raymond James. Please go ahead.
Michael Rose: Hey, guys. Good afternoon. How are you?
John Allison: Hey, Michael.
Michael Rose: So, I guess my question is -- so, in talking with larger banks and our BDC analysts and others in the industry, it seems like paydowns are going to be structural in nature. There’s a lot of capital out there. So, I guess my question really resides in you guys are about 10% of assets in your CFG portfolio. I know the goal is 15% or at least that’s the cap. So, I guess my question is how can you guys actually grow this portfolio? And then does it really make sense to grow and should you just actually take the capital and just buyback literally as much stock as you can? Because it seems like that might be the better trade-off at this evaluation level. Any comments would be appreciated. Thanks.
Stephen Tipton: Michael, this is Stephen. I know we’ve got Chris on the phone. I think he gave some comments early in the call, just about what we would expect or what he has seen in his long history of doing this and then what we’ve seen over the last three or four years. That you’re going to have some lumpiness or cyclical nature to the payoffs in the portfolio but that over a longer term, you’re going to see 20 plus percent in growth. And I think, at least from our perspective, the way -- the deal flow he sees and the way that they structure credit that we’re not going to push a ROE, as we've always said, but I think we would continue to like to see Chris grow his portfolio at the pace that he has in the past.
John Allison: Yes. I don't know that we have to – I’ll let Chris talk about New York. But if you can’t grow -- and it may not be a good time to grow. You know? I'm beginning to believe that maybe the world thinks if you grow, you’re in trouble, and if you don't grow, you’re in trouble. But if the paydowns slow down -- I mean, we've done over $1.9 billion in originations the last two quarters. If you need to grow, if we have a slowdown in paydowns, that's going to jump. I’m with you though. I can't say that we’re going to see a slowdown. I don't know if we're going to see a slowdown on the paydowns. So, if you can’t grow and you’re going to kind of tread water, so how do you increase profitability? And that's moving rates. So, we deserve -- I mean, if you’re rolling around five years ago at 5% and it renews, to be fair, we ought to get 6.75%. Well, everybody’s trying to come back and ride at 5.5% or 5.25%. That’s not really reasonable. We really deserve 6.75%. So, we’re trying to push it. If the rest of the market will follow, I don’t know. If the rest of the market wants to give away the Trump deal, they’ll give it away. But that's what our objective is right now and that trend has started working for us. So, I have given up on the fact that we may not be able to grow as fast as we anticipated growing or may not be able to grow. But that’s okay. That's all right too. We're going to make a lot of money. We’re going to make $280 million to $350 million a year and we’re going to sit here and clip coupons with that until it turns. And when it turns, it will be our turn. We’ll be in good shape. And if there is a cycle, if there is a downturn in cycle, we’ve got lots of capital and we’ll have lots more capital and we’ll be in a great position to -- we knocked it out of the park in the last cycle when it went down. I suspect we’d do that again.
Michael Rose: Well, Johnny, I think that’s the point, right? I mean, you guys are growing. That’s great. But you're growing at a lower multiple business? I think Ozarks is a really good case study as to what the market is going of pay you for growth in that business. And I think that it’s a fantastic business and I completely agree with everything. But from a credit perspective, the market’s not assigning you any value for that. And if the other portfolios aren’t really growing, I mean, why not just buy back as much stock as you can? I think that's the real question. I mean, you guys are 2.7 of tangible. What do you guys do to sustain and potentially grow that? I'm not trying to be argumentative but, I mean, why aren't you guys buying back as much stock as you can if there's no attractive acquisition opportunities at this point?
John Allison: Well, we did. We bought a lot of stock the third quarter. That was, we stepped it up because the price continued to come down. I don’t know where the market is. I don’t know where the market thinks we ought to be. If the market thinks we ought to be $17.00 or $18.00, then I guess we don’t need to waste our money until it gets to be $17.00 or $18.00. I don’t need -- if somebody is so freaking negative on the market and on the banks and don’t want to pay for the performance of this corporation, New York is 10% or 11%, you’re right. It's a great business. They’ve never had a loss for us. You can call it what you want to call it, but most banks do similar things to what New York does, they just do it in New York and do it on a different scale. And they’re better underwriters than the rest of us are. But the truth is that they don't do much any different than what we do, so, to value that business for less? I don't get that. I don't understand that. That makes absolutely no sense to me. So, how many companies are running -- how many companies you got running a 2.12 ROA and a 37% efficiency ratio and a 24% return on tangible common equity? How many you got?
Michael Rose: You. And I think that's the point. I mean, I'm thinking that's the token for progress.
John Allison: That's my point.
Michael Rose: Exactly. So, as capital builds here and if you’re not going to deals, maybe because there’s not opportunities or maybe it’s not the right time, I mean, why don’t you double, triple the buyback and just do as much as you can as capital builds?
John Allison: Well, what came first? The chicken or the egg? We do M&A deals. If the market wasn’t so stupid and priced us where they priced us and not give us credit for what we deserve, in my opinion, then we’d be doing deals. But I’m not going to dilute our shareholders. We are a very disciplined acquirer. We’re a very disciplined lender. We don’t push a ROE. We don't force loans. We don't force deals. We don't have earn-backs on tangible books. I don't think anybody gives a damn. I don't think it matters to anybody, anywhere if you earn $0.50 or $0.60. I don’t think it matters in this market right now. I think it’s so – the world is so negative that it doesn’t make any difference. So, I agree with you. We might as well find out where the world thinks Home BancShares' stock ought to be and then we ought to buy a couple hundred million dollars' worth of it.
Michael Rose: Hey, Johnny, I completely agree with you. So I'm with you. Thanks.
John Allison: Thanks.
Operator: And our next question comes from Brian Martin from FIG Partners. Please go ahead.
Brian Martin: Hi, guys.
John Allison: Hi, Brian. You got me fired up so get in there.
Brian Martin: I hear that, Johnny. Just are you seeing any -- Johnny, on the M&A part, just going back through the capital. I mean, are you seeing the sentiment at all change for the sellers? I mean, in particular, let’s say the one you’re looking at or others. But, I mean, the world seems to be changing. I mean, right now, it sounds as though they're not changing as of yet or they've not changed yet.
John Allison: I don't think -- we've got to have a couple of deals, Brian.
Brian Martin: Yes. Okay.
John Allison: I think we’re going to have a couple of reasonable deals. We've had -- what have we had? Four or five crazy deals here recently? High-priced, almost three times book. We’ve had those deals going. So, I think we’ve got to have somebody do a reasonable deal or two. And that’ll settle the market down a little bit. And you know as well as I do -- I remember when I sold my first commercial bank years ago, I heard about three times book and three-and-a-quarter and we ended up getting 4.11 times book. And I didn’t have enough sense at that time to recognize the fact what I was doing to the buyer. You know? It was all about how much money we got. It wasn't about what the structure looked like at the end of the day. If you plan on selling your stock, it doesn't make any difference. But if you plan on being a long-term holder, it's important what it looks like at the end of the day. And five-year earn-back to tangible book and four-year, that’s all bullshit. You know that and I know that. Whoever tracks that? Nobody tracks that. Nobody keeps up with it. Nobody stays up with it. And what ultimately happens is it gets lost in the fog. I looked at one the other day one of the analysts sent me. It was their tangible book value 11 years ago and their tangible book value today. They were only down $0.02 over 11 years. So, they had a great run. I mean, they've diluted themselves into infinity for their shareholders. So, we're not going to do that.
Brian Martin: Okay. I've got you. And just maybe one for Stephen. Just, Stephen, going back to the core margin for just a minute, I guess it sounds as though the level we’re at today on the core margin ought to be sustainable and maybe trending higher if you're getting the better pricing as Johnny's alluding to. I just kind of want to make sure I get that right, just given that funding costs are still rising. I guess maybe just those are an offset to the better pricing so it’s a modest upwards bias is how we think about the core margin, and just kind of confirming that the current level is a good starting point?
Stephen Tipton: Its going to bounce around some. Like you said, I think lumpy is a good word. But it’s going to be a little lumpy depending on the timing and the amount of the payoffs that we see, particularly from New York with some of the things that come there, but even with some of the legacy payoffs and what gets accelerated from an origination fee standpoint. So, yes, I think we like to look at it in that low four range on an adjusted basis.
Brian Martin: Okay. And the yields on the new originations versus the payoffs, given that it was mostly New York, I guess was there less of a difference this quarter? I guess less favorable?
Stephen Tipton: Yes, it was actually upside down this quarter because you had more 7% payoffs or 6.5% payoffs out of New York than what we originated. So, I think we originate about 5.5%. I think the $700 million was in the 5.5% range, which was okay. We really didn't start getting the benefit of pushing up rates and starting to see sixes until about a month before the quarter was over. So, we’re seeing that. We’re starting to see that. Now, that doesn't mean they're all going to book, but I don’t know but one meeting, $133 million at 6.25%. That got approved. So, that was the best of the group that we saw. But our people are trying. I mean, they are really, really trying. Tracy had -- he said one basis point is $1.25 million and one of our guys in the Keys had a loan we approved at 550. He got 553 on the first one at a quarter of a point. And he came back with the guy wanting to buy another property and we approved it at 550. He got 588 and a half a point. So he’s in the program. He gets it. The first one was $1,250.00. It wasn’t a lot of money but at least he was trying to get a few extra basis points. And on the last one it was much more money than that. So, our team gets it, we are pushing rates. We did that in 2008, 2009, and 2010 and it worked out well and we’ll see if it works out well here.
Brian Martin: Okay, that’s helpful. And just the last thing, the number of shares that you said may up the authorization John, but just the number of shares remaining on the current plan or if someone would know ballpark or that half?
John Allison: Stephen might know hit those.
Stephen Tipton: Well, I really think what Mr. Allison is talking about, we’ve got ample shares outstanding that we can repurchase. I mean, it’s probably 900,000, 800,000 shares.
John Tipton: We’ve got about 8 million shares available for repurchase, Brian.
Brian Martin: 8 million.
Brian Davis: Yes, that's what I meant. Eight million, yes. Wrong. But what we're doing is we're getting some guidance from the board each quarter on the dollar amount of shares that they would like to see us buy back each quarter and I really believe that's what Mr. Allison was referring to.
Brian Martin: Yes. Okay. And then just last housekeeping thing. Brian, just for you. The accretion outlook going forward, any change from kind of what you kind of articulated last quarter? Just kind of a similar type of level we're at now that you've got Shore in there and the other?
Brian Davis: The accretion's been fairly flat the last three quarters and it's hard to predict without a crystal ball. For example I mean Shore did have $861,000 of accretion. So, we were up $75,000 in accretion but without Shore, we would have been down about $800,000 in accretion. The good news is that the payoff accretion, which was about $3.9 million last quarter is probably $3.1 million this quarter. So we really didn’t -- we made a little ground there. You’ve got to believe that it’s going to continue to fall off. We didn’t fall off this last time because of the Shore acquisition but we still have about $105 million of income that will and can be accreted into income over the life of the loans. And the weighted average life of those loans is about eight years. So…
Brian Martin: I got you. Okay, and last one Brian just on the house-keeping. You said the add – the additional and the fee income this quarter was about related to the CFG benefit, the paydown was about 2 million and then the expense was one eight. Is that the…
Brian Davis: Yes, that’s correct.
Brian Martin: Okay, all right. That’s all I had guys. Thanks for taking the question.
Brian Davis: Thanks Brian.
Operator: And our next question is a follow up from Michael Rose with Raymond James. Please go ahead.
Michael Rose: Hey, guys. Just one follow-up question. Just given your outlook, when do you guys think you can get to the HOMB $2 assuming paydowns lay flat? And I guess what goes in assumption wise in your targets into hitting that target? Thanks.
Brian Davis: About $600 million worth of loans, that’s about what it is. About $600 million worth of loans and we didn’t anticipate rating the new credits at the level we are rating. We assumed rating the new credits. We assumed increasing renewals, or rates on renewals, but we didn’t assume increasing the rates on the new credits as much as we’ve increased those and it took $600 million worth of loans. So, as I said when I laid out the plan to our people I didn't anticipate it probably won’t happen exactly the way I laid it out. It will happen some way differently than that. So, we’d be there today on a run rate basis if we’d been able to book the last two quarters worth of originations. To me, that’s how close we are. They have got to slow down at some point in time and when they do -- to tell you when we can get there, I can’t tell you. But I can tell you we would have already been there on a run rate had we booked our last two quarters of originations.
Michael Rose: Okay, thank you.
Operator: And this concludes our question and answer session. I would like to turn the conference back over to Mr. Allison for any closing remarks.
John Allison: Thank you for listening to me today and us. I kind of went off a little bit. When you run a company like this and you see how hard everybody works in the company and you think that they deserve better, but it is what it is and we'll continue to do what we have done next quarter as we’ve done in the past 30 quarters. We hope so, Randy.
Randy Sims: 30 quarters.
John Allison: 30 quarters and we hope it will be 31 and we’ll work hard to do that, whether anybody gives a care or not we’ll do it. Anyway, thanks we’ll talk to you in 90 days.
Operator: The conference is now concluded. Thank you for attending today’s presentation. You may now disconnect.